Operator: Good day, and welcome to the Amtech Systems Fiscal Fourth Quarter 2025 Earnings Call. Please note that this call is being recorded and simultaneously webcast. I would now like to turn the call over to Jordan Darrow of Darrow Associates Investor Relations. Please go ahead.
Jordan Darrow: Thank you, and good afternoon, everyone. We appreciate you joining us for Amtech Systems' Fiscal Fourth Quarter 2025 Conference Call and Webcast. With me today on the call are Bob Daigle, Chairman and Chief Executive Officer; and Wade Jenke, Chief Financial Officer. After close of market today, Amtech released its financial results for the fourth quarter of 2025. The earnings release is posted on the company's website at www.amtechsystems.com in the Investors section. Before we begin, I'd like to remind everyone that the safe harbor disclaimer in our public filings covers this call and the webcast. Some of the comments to be made during today's call without contain -- will contain forward-looking statements and assumptions that are subject to risks and uncertainties, including, but not limited to, those contained in our SEC filings, all of which are posted in the Investors section of our corporate website. The company assumes no obligation to update any such forward-looking statements. You are cautioned not to place undue reliance on forward-looking statements, which speak only as of today. These statements are not a guarantee of future performance, and actual results could differ materially from current expectations. Among the important factors, which could cause actual results to differ materially from those in the forward-looking statements are changes in technologies used by customers and competitors, change in volatility and the demand for products, the effect of changing worldwide political and economic conditions, including trade sanctions, the effect of overall market conditions, including equity and credit markets and market acceptance risks; ongoing logistics, supply chain and labor matters and capital allocation plans. Other risk factors are detailed in our SEC filings, including our Form 10-K and Form 10-Q. Additionally, in today's conference call, we will be referencing non-GAAP financial measures as we discuss the fiscal fourth quarter financial results. You will find a reconciliation of those non-GAAP measures to our actual GAAP results included in the press release issued today. I will now turn the call over to Amtech's Chief Executive Officer, Bob Daigle.
Robert Daigle: Thank you, Jordan, and good afternoon, and thank you for joining us today. I'm pleased to report that our fourth quarter performance was above expectations with revenue of $19.8 million versus a guidance range of $17 million to $19 million. Strength in demand for the equipment we produce for AI applications continues to be our primary growth driver. However, both our Thermal Processing Solutions and our Semiconductor Fabrication Solutions segments did exceed forecast, reflecting our strong position for advanced packaging solutions in AI markets and more stable demand within the mature node semiconductor market. Adjusted EBITDA also came in above expectations at $2.6 million or about 13% of revenue versus the mid-single-digit EBITDA expected. These recent results are demonstrating our strong operating leverage and ability to generate cash. We ended the quarter with almost $18 million of cash on the balance sheet and continue to have no debt after paying it off last year. The cash swing over the past 2 fiscal years enabled us to eliminate our debt, which stood at over $10 million and increased our cash to current levels. Our stronger-than-expected results for the quarter reflect the combined contribution of improved operational discipline, the benefits of our transition to a more flexible semi-fabless manufacturing model and our focus on higher-margin products where we have competitive advantages. Expanding on our end markets, within the Thermal Processing Solutions segment, advanced semiconductor packaging remained a highlight this quarter with continued strength driven primarily by ongoing investments in AI infrastructure. For context, in the fourth quarter, revenue from equipment used for AI infrastructure accounted for over 30% of our Thermal Processing Solutions revenue versus 25% in the prior quarter. Based on our channel checks, we see no slowdown for this area of our business. Related to revenue mix, we generated about 60% of our revenue from capital equipment and 40% from reoccurring revenue, including consumables, parts and services. The balance between capital equipment and reoccurring revenue is important and reflects our strategy to expand higher-margin reoccurring revenue streams while we fully capitalize on opportunities for equipment used to expand AI infrastructure. As we look ahead, our fourth quarter bookings suggest we should continue to see strength for AI-related equipment revenue. To fully capitalize on this growth opportunity, we are continuing to invest in next-generation equipment that enables volume production of higher-density advanced packaging and electronic assemblies to increase our addressable market and the value we provide to customers. Turning to our Semiconductor Fabrication Solutions segment. As we indicated last quarter, demand for front-end equipment and consumables tied to mature node semiconductor applications in industrial and automotive markets remained weak. That said, performance in this segment slightly exceeded our expectations in the quarter. Beyond the cyclical ebbs and flows of this market, we remain committed to controlling our own destiny by investing in applications and product development to solve problems faced by our customers. We expect these initiatives to deepen customer relationships and increase reoccurring revenue streams as customers qualify our products and scale production. While these initiatives will take time to scale, we are encouraged by the level of customer interest and engagement. This is all part of our strategy to overserve the underserved. As a relatively small player in a very large overall market for semiconductor consumables and equipment, we are targeting high-end, high-margin applications where we can leverage strong technical capabilities and provide exceptional service. End markets include med tech and defense applications, among others, where we have strong customer engagement enabled by our foundry service and differentiated capabilities so we can develop sticky reoccurring revenue streams. Over the past 18 months, we've made tremendous progress optimizing our operating model and improving our cost structure. We implemented a series of cost reduction initiatives that included the elimination of some unprofitable products and a shift of some products to outsourced partners to reduce labor and fixed overhead costs. These initiatives, which include consolidation of our manufacturing footprint from 7 sites to 4 sites resulted in $13 million of annualized savings. Looking ahead, we expect to realize additional savings by subletting underutilized factories. These actions have significantly reduced our EBITDA breakeven point, improved our ability to scale profitably with higher volumes. With the majority of major optimization initiatives completed, we are now focused on growth initiatives to fully capitalize on AI equipment opportunities and increase our reoccurring revenue. Our improved financial performance, prospects for continued operating cash flow generation, CapEx-light business model and a strong balance sheet have provided us with the flexibility to return capital to shareholders while also investing in growth opportunities. So Amtech's Board of Directors has authorized a share repurchase program of up to $5 million of the company's common stock for a 1-year period. In summary, we have a strong foundation for growth driven by AI market opportunities and differentiated capabilities. The changes we've made to optimize our business model and streamline our product portfolio have created strong operating leverage, which positions us well to elevate profitability as we grow and create meaningful shareholder value. With that, I'll turn it over to Wade for further details on our financial results.
Wade Jenke: Great. Thank you, Bob. Net revenues increased sequentially from the third quarter, driven primarily by strong demand in Asia for reflow ovens used in AI applications. The decrease in net revenues compared to the same period last year reflects higher AI-related revenues, offset by substantially lower mature node semiconductor revenues, primarily for sales of wafer cleaning equipment and parts in our Semi Fabrication Solutions segment. In our Thermal Processing Solutions segment, diffusion furnaces and high-temperature furnaces drove the decline in sales. GAAP gross margin decreased by $0.3 million sequentially from the prior quarter and decreased $1 million compared to the same prior year period. The decrease from the prior quarter was due to the onetime Employee Retention Credit received in the third quarter of 2025. The decrease in gross margin from the same prior year period is primarily due to lower sales volume in the mature node semiconductor market. Gross margin as a percentage of sales increased from 40.7% in the same prior year period, up to 44.4% this current year quarter, driven by cost save initiatives and product mix. Compared against the third quarter of 2025 and excluding the ERC onetime credit, gross margin would have been 41.5% versus the current fourth quarter of 44.4% gross margin, showing a nice sequential improvement. Selling, General and Administrative expenses decreased $1 million sequentially from the prior quarter and decreased $2.4 million compared to the same prior year period. The decrease from the prior quarter and the same prior year period is primarily due to cost reduction efforts around overhead expenses and cost structure changes to reduce our fixed costs. Research, Development and Engineering expenses increased by $0.2 million sequentially from the prior quarter and decreased $0.4 million compared to the same prior year period. The increase from the prior quarter is primarily due to growth initiatives and the decrease compared to the same prior year period is primarily due to a more focused approach to our investments in innovation. GAAP net income for the fourth quarter of fiscal 2025 was $1.1 million or $0.07 per share. This compares to GAAP net income of $0.1 million or $0.01 per share for the preceding quarter and GAAP net loss of $0.5 million or $0.04 per share for the fourth quarter of fiscal 2024. Non-GAAP net income for the fourth quarter of fiscal 2025 was $1.4 million or $0.10 per share. This compares to non-GAAP net income of $0.9 million or $0.06 per share for the preceding quarter and non-GAAP net loss of $7,000 or $0.0 per share for the fourth quarter of fiscal 2024. Unrestricted cash and cash equivalents at September 30, 2025, were $17.9 million compared to $11.1 million at September 30, 2024, due primarily to the company's focus on operational cash generation, working capital optimization, strong accounts receivable collections from customers, accounts payable management and the employee retention credit. Now turning to our outlook. For the first quarter, fiscal ending December 31, 2025, the company expects revenue in the range of $18 million to $20 million. AI-related equipment sales for the Thermal Processing Solutions segment is anticipated to partially offset the transitions in our business related to mature node semiconductor product lines with the benefit of previously implemented structural and operational cost reductions, Amtech expects to deliver solid operating leverage, resulting in adjusted EBITDA margins in the high single digits. Amtech remains focused on driving further efficiency gains and cost optimization across all operations, positioning the company to expand margins and generate more consistent profitability going forward. Operations can be significantly impacted positively or negatively by the timing of orders, system shipments, logistical challenges and the financial results of semiconductor manufacturers. Additionally, although the company has been generating more revenues from recurring and consumable sales, the balance of the business is from semiconductor equipment industries, which can be cyclical and inherently impacted by changes in market demand and capacity utilization. The outlook provided during our call today and in our earnings press release is based on an assumed exchange rate between the United States dollar and foreign currencies. Changes in the value of foreign currencies in relation to the United States dollar could cause actual results to differ from expectations. As you may have seen in our 8-K filing, I have submitted my resignation as Chief Financial Officer, effective as of the close of business on December 29, 2025. My decision to step down is not a result of any dispute or disagreement with Amtech Systems. The decision is based upon my personal and family interest in mind. I'll be assuming an executive role at a different company. I have agreed to serve in a consulting capacity for a period of up to 6 months to assist with the closing of the first quarter of fiscal 2026, preparation and filing of the 2026 Annual Meeting proxy statement and the transition of my duties to a new CFO. Amtech Systems plans to launch a search for a new CFO immediately. I want to take a moment to thank the Amtech Systems team who has achieved and improved substantially under my tenure. I also want to thank Bob Daigle for his tremendous vision and leadership as CEO. I have learned so much, and I will be eternally grateful for the opportunity. Thank you. And I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] And the first question will come from Craig Irwin with ROTH Capital Partners.
Craig Irwin: Yes, I was on mute. I apologize for that. So Bob, can you maybe talk a little bit about your visibility with AI customers? I don't know if you can maybe just give us general color on backlog and backlog trends or orders and order indications and maybe even just the direct investment you're seeing in the different facilities that you're selling into there as far as the customer commitments.
Robert Daigle: Yes. Yes. Let me walk through that, Craig. Yes. So again, broadly speaking, we're seeing very strong demand. I would characterize my sense right now is most of the equipment in the pipeline has been really being put into existing facilities, but what we're hearing is there are new facilities being built as well. So I think there's plans that go out there quite a while. In terms of our visibility and backlog, it's one of these -- and I think we've talked about this before. We have a very efficient, effective manufacturing organization for this back-end equipment. We can basically, for the most part, book and ship in the same quarter. Our lead times will run 6 weeks or so for this equipment out of our Shanghai factory. So typically, we're getting orders and in most cases, shipping within the same quarter. Having said that, there is an increased level of business where we're -- in some cases, they're telling us we're still finishing up a factory, and it's going to be in, for example, the March quarter or in some cases, the June quarter before they want to take delivery. So I'd say we're getting a little bit more visibility out there because of other critical constraints in installing equipment. But for the most part, our volume has been driven by book and ship in current quarters.
Craig Irwin: Understood. Understood. You've explained the nature of the business in the past, and it makes sense that it's not necessarily changing, just moving very well. So that makes sense. One area that you guys have really impressed me over the last couple of years is on the execution, bringing down OpEx, right, the $13 million in savings. Can you maybe frame out for us what the sublet savings could be from the underutilized facilities? And I don't know if you can get more specific about which facilities and whether or not these are sales or things where you're already leased, and you can -- you're subleased or if there's assets that can be sold.
Robert Daigle: Yes. No, these are leases of underutilized facilities and both -- in both segments. I'd say combined, we're probably looking at once we sublet both facilities, let's say, $700,000 to $1 million in annualized savings associated with those.
Craig Irwin: Okay. Excellent. Excellent. Then to change subjects again, there's quite a lot of interest out there about new applications for silicon carbide. Some of these AI chip producers are apparently looking at different substrates for future generations of chips. I know you guys get involved very early on with different customer groups as far as development necessary for new processes. Are you seeing some new customers maybe come in or new opportunities come in that might broaden your participation away from TPS into substrates for some of the AI momentum we're seeing in the market?
Robert Daigle: Yes. If it migrates to silicon carbide for processing, it would be more on the consumable side of things, Craig, that we would participate. Actually, I thought what you were going to reference is there's a lot of literature and discussion around the fact that the data centers themselves are going to likely distribute instead of having low-voltage power across the facility, go to high voltage and step it down at the rack. And that allows them to significantly reduce the amount of copper needed for busing across these AI data centers. So I'm hearing more about that where basically it's another -- with EV pretty depressed right now across the industry, it's a potential growth driver for silicon carbide where it's the power electronics for these data centers. I've heard a little bit about silicon carbide as substrates. And again, I think for us, it would be more -- it could translate into consumables if that materializes.
Craig Irwin: Yes. I can clarify that for you. I'm sure you know, but you're probably limited as far as what you can say. So I'll say it publicly. I know that the silicon carbide produced by Wolfspeed is used by EPC Power a private company based in California for the EPC power blocks sold by Vertiv and those use 3.3 kV MOSFETs, which are much higher power than the MOSFETs using EVs. And that is the primary product going in on the leading-edge data centers today. So I do know that DC is adopting silicon carbide for power. What I was curious about and really where things can get insanely interesting is if it's a substrate for the actual -- for the AI chips themselves and not just the power.
Robert Daigle: Yes. And my sense would be that's a ways out if that develops, it's -- I think I haven't heard anything imminent on that front, I guess, I would say, Craig.
Operator: The next question will come from Michael Legg with Ladenburg.
Michael Legg: Bob, now that you've done a great job cleaning up the balance sheet and getting costs in line and your comment on overserving the underserved, can you talk a little bit about the opportunity in the service area?
Robert Daigle: Yes. So what we're focused on is really high-value niche opportunities or areas of the market where -- let me characterize it this way. If you're a large semiconductor application area, you tend to get pretty high service levels and product availability is always there and you get development support for new products, new applications. And what we're finding are opportunities, and they tend to be a little bit more nichey in the medical area and the defense area where for a large player, the volumes may not be all that meaningful. But for us, it creates a nice opportunity for this reoccurring revenue stream. So we're leveraging our foundry service where we do contract development. We do -- we can help qualify products with some of these OEMs basically to get our products into some of these applications as an alternative to some of the large incumbents. And again, it's just going to take time to develop because it requires qualification, but it is very sticky business. It has a nice margin profile. And I think it helps develop some very strong connection with some key customers because we're there to support them where in many cases, others aren't.
Michael Legg: Okay. Great. And then just a follow-up. On the CFO search, can you give us any update on your progress there?
Robert Daigle: Yes. So we -- it's -- we just started, and we'll keep everybody informed as things develop. But we're still early in the search.
Operator: The next question will come from Mark Miller with The Benchmark Company.
Mark Miller: Just wanted to clarify, you indicated that the spread between equipment and reoccurring revenues was 60-40. Was that for both the Thermal Processing and the Semi Fab sales? Or was it some differences there?
Robert Daigle: Yes. It's overall, I'd say the majority of the Semi Fabrication Solutions are the consumables parts service. And probably of the TPS segment, I'll give you a rough number, let's say, 80% equipment, 20% on the reoccurring side.
Mark Miller: In terms of your backlog, is it -- you said you've been focusing on higher-margin products. What does it look like in terms of the margin profile of your existing backlog? Is it better than what you've been reporting recently?
Robert Daigle: Yes, we basically cleaned that up for the most part, Mark. If you -- when we talked a year or 1.5 years ago, we had a lot of things in our backlog had -- I would characterize as substandard margins and pretty much moved beyond that now. So what's sitting there is of high quality for the majority of it.
Mark Miller: You indicated that auto remains soft for you, but I was a little surprised by that because it's my understanding, at least for EVs that auto sales in China are better this year than last year.
Robert Daigle: Yes. I think -- yes, most of the most of our exposure in the auto industry is with the Western OEMs. So let's say, U.S., European players, less so in Mainland China. So my comments, frankly, referred to the semiconductor industry that serves the Western world.
Operator: The next question will come from George Marema with Pareto Ventures.
George Marema: A couple of questions. Do you guys expect any effect from the ramp-up of Blackwell versus Hopper and also kind of the ramp-up of these custom ASICs like TPUs, et cetera?
Robert Daigle: They -- from our perspective, they're basically using our understanding very similar processes and equipment capabilities. So I think to the extent they ramp and it's more volume that's beneficial. But in terms of significant technology differences at this stage, I wouldn't say there isn't much impact on us if the mix shifts.
George Marema: Okay. And then as you look out to '26 in terms of your focused R&D on innovative investments and new products, any update on any new products for '26 and new initiatives?
Robert Daigle: Yes. So let's talk about the initiatives. And again, there's really 2 areas of focus for our investments. On the Thermal Process Solutions side of things, it really is around enabling continuous processing for higher density, higher -- tighter pitch devices. where we think it could potentially open opportunities to participate in more of the processes that are used for these GPUs, TPUs and frankly, even the electronic assembly of dense boards for the AI data servers. So I think that's our emphasis for TPS is really around how do we participate in more of the process. And by the way, that equipment has a high level of complexity and the requirements are more stringent. So we think the ASP would also be meaningfully higher. Then on the SFS side of things, our investment is really on driving our growth in our consumables, particularly -- specifically our chemicals business where we have some very strong capabilities on the application development that leverage -- basically leveraging our foundry. We have very strong technology folks in our R&D labs, our formulators. So -- and we think there's -- based on the engagement level, we think there are customers that can significantly benefit from our capabilities and support. So that's where we're investing. Very much line of sight, though. I've said this before, we're a small company. We work on -- these aren't grand initiatives, if we build it, they'll come kind of things that we're working on things that are very much involve customer engagement so that the goal here is to convert R&D efforts into meaningful revenue as quickly as possible.
George Marema: Okay. And then one last one. Has there been any change in the competitive landscape in thermal area?
Robert Daigle: Nothing that I'm aware of visible to, George. I think it's pretty much very similar situation in that space.
Operator: Ladies and gentlemen, at this time, we've reached the end of the question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
Robert Daigle: All right. Thank you. Well, first of all, in closing, I'd like to thank Wade for his service to Amtech over the past 16 months and his assistance as we transition the responsibilities to a new CFO. Our back-office processes and systems have greatly improved as a result of Wade's efforts, and I wish him the best in his role in his new company. And in closing, I also want to thank everybody on the call today or those who will participate in the recast for their interest in Amtech and for joining our conference call today. And we look forward to updating you on our progress in the months to come. Have a good evening, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.